Executives: JoAnn DeGrande - Investor Relations Howard S. Schultz - Chairman, President & Chief Executive Officer Kevin R. Johnson - President and Chief Operating Officer Scott Harlan Maw - Executive Vice President and Chief Financial Officer Adam B. Brotman - Chief Digital Officer, Executive Vice President Matthew Ryan - Global Chief Strategy Officer Clifford Burrows - Group President-Americas, US & Teavana Region John Winchester Culver - Group President-China & Asia Pacific
Analysts: John William Ivankoe - JPMorgan Securities LLC Sara H. Senatore - Sanford C. Bernstein & Co. LLC Keith R. Siegner - UBS Securities LLC Sharon M. Zackfia - William Blair & Co. LLC David S. Palmer - RBC Capital Markets LLC John Glass - Morgan Stanley & Co. LLC David E. Tarantino - Robert W. Baird & Co., Inc. (Broker) Karen Holthouse - Goldman Sachs & Co. Andrew Charles - Cowen & Co. LLC Jeffrey Andrew Bernstein - Barclays Capital, Inc. Karen F. Short - Deutsche Bank Securities, Inc. Matthew James DiFrisco - Guggenheim Securities LLC Joseph Terrence Buckley - Bank of America Merrill Lynch Andrew Marc Barish - Jefferies LLC
Operator: Good afternoon. My name is Mike, and I'll be your conference operator today. At this time, I would like to welcome everyone to Starbucks Coffee Company's Fourth Quarter and Fiscal Year 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Ms. DeGrande, you may begin your conference.
JoAnn DeGrande - Investor Relations: Thank you, Mike. Good afternoon. This is JoAnn DeGrande, Vice President of Investor Relations for Starbucks Coffee Company. Thank you for joining us today to discuss our fourth quarter and fiscal 2015 year-end results, which will be led by Howard Schultz, Chairman and CEO; Kevin Johnson, President and COO; and Scott Maw, CFO. Joining us for Q&A are Cliff Burrows, Group President, U.S. Americas; John Culver, Group President, China Asia Pacific, Channel Development and Emerging Brands; Mike Conway, President, Global Channel Development; Matt Ryan, Global Chief Strategy Officer; and Adam Brotman, Chief Digital Officer. Given all we have to discuss today, both Q4 and 2015 year-end results, along with introducing our initial fiscal 2016 growth targets, we anticipate this call will run longer today than our typical quarterly earnings calls. This conference call will include forward-looking statements, which are subject to various risks and uncertainties that can cause our actual results to differ materially from these statements. Any such statements should be considered in conjunction with cautionary statements and our earnings release and risk factor discussions in our filings with the SEC including our last report on Form 10-K. Starbucks assumes no obligation to update any of these forward-looking statements or information. Please refer to our website at investor.starbucks.com to find the reconciliation of non-GAAP financial measures referenced in today's call with their corresponding GAAP measures. This conference call is being webcast, and an archive of the webcast will be available on our website at investor.starbucks.com later today. Let me now turn the call over to Howard.
Howard S. Schultz - Chairman, President & Chief Executive Officer: Thank you, JoAnn, and good afternoon, everyone. Starbucks record Q4 financial results highlighted by stunning comp store sales increases of 8% globally, 9% in the U.S., and our second sequential quarter of a 4% increase in global traffic, underscores the strength and relevance of the Starbucks brand around the world and the success of the investments we continue to make in our people, in our business, in new beverage and food innovation, and in ground-breaking technology innovation that is deepening our connection to customers everywhere. Noteworthy is that Q4 represented our 23rd consecutive quarter of global comp store sales growth of 5% or more, a remarkable achievement given the scale, breadth, and complexity of our business and the fact that our global comp base now includes nearly 10,000 stores in countries and markets around the world. In Q4, Starbucks increased revenues to a record $4.9 billion and non-GAAP EPS to a Q4 record of $0.43 per share, and for the full-year we generated record revenues of $19.2 billion, record non-GAAP EPS of $1.58 per share and we served over 72 million more customer occasions from our global comp store base than we did the year before. Starbucks' performance throughout fiscal 2015 was outstanding by any standard, metric, or comparison. We are connecting more deeply and more meaningfully with more customers across all day parts than ever before, and we are delivering quarter after quarter of record-breaking financial results despite the accelerating shift in consumer behavior away from traditional bricks-and-mortar retailing and despite difficult macroeconomic retail and consumer headwinds that continue to challenge traditional retailers. At our Investor Conference last year, we laid out for you our five-year strategic plan for growing our business and continuing to deliver world leading financial and operating performance and long-term sustainable profitable growth into the future. Starbucks is playing the long game, and our plan is premised on seven core strategies that are guiding both our focus and our execution. Let me start with the first of our strategies. Creating brand differentiation to an elevated in-store customer experience brought to life through our over 300,000 Starbucks partners around the world who proudly wear the green apron, the best most engaged and customer-centric people in all of retail today. Starbucks will continue to lead and to succeed, first and foremost, because of our partners. The investments we make in our partners and our partners' connection to our customers and our brand are at the center of what drives Starbucks' business and sets us apart from every other retailer in the world. And the investments we make in our partners pay tangible dividends in the form of more satisfied and engaged partners, deeper connections among partners, and with customers and improved in-store efficiency, all of which contribute to an elevated in-store Starbucks experience for everyone, partners and customers alike. Noteworthy is that today we are seeing improvements in partner attrition, a direct result of our partner investments at a time when the industry overall is actually moving in the opposite direction. And we are seeing a direct correlation between reduced partner attrition and our business results. Our comp results are strongest where we are having our greatest success in reducing turnover. There is no doubt that our partner investments link directly back to our ability to post record profits, industry-leading global comp store sales increases, and back-to-back quarters of 4% increases in global traffic, and that they are driving our business. As for the second of our core strategies; coffee leadership. I couldn't be more proud of the many ways in which we are extending our lead and creating greater distance and separation from our competitors. The Starbucks Roastery we opened in Seattle, last December is the first of several roasteries we have planned for major cities around the world, is clearly the world's definitive immersive coffee experience and the anchor of a new initiative in building 500-plus coffee-forward Starbucks Reserve stores in key global markets around the world. The Starbucks Reserve store we just opened in London just last month to tremendous customer response and acclaim is emblematic of our Starbucks Reserve store, the strategy and the initiative that's coming to life. We continue to elevate and bring premiumization to the entire coffee category with our Starbucks Reserve brand. The Starbucks Reserve offers consumers the finest assortment of exclusive micro-lot coffees from around the world and is now available in thousands of Starbucks stores globally, reflecting a diversity of origin and sourcing capability that only Starbucks can deliver. We have now built seven Farmer Support Centers around the world, most recently in Sumatra, Indonesia, with the eighth opening in Mexico in 2016. Our Farmer Support Centers provide an on-the-ground agronomy service that promotes sustainable best-farming practices and augment our comprehensive approach to ethical sourcing. Earlier this year, we verified 99% of our coffee as ethically sourced and our rigorous approach to environmental and social best practices in growing and processing coffee has enabled us to achieve this recognition. To date, more than a million farmers and workers on four continents have benefited from our farmer support programs, once again demonstrating Starbucks coffee leadership and authority and our commitment to giving back to the people around the world who support our partners and our business and the communities in which we operate. Now some years ago, the suggestion was made that Starbucks may be reaching store saturation in the U.S. The data reported since demonstrates that nothing could be further from the truth. As in the intervening years, we have opened thousands of new stores with each successful class of stores outperforming the prior class. And our newest class of stores is performing at the highest level in our history, generating first-year average unit volumes of $1.4 million, up nearly 20% from only three years ago, while also delivering record profitability and returns on investment. At the same time, we continue to open new Starbucks stores and introduce dynamic new best-of-class store designs and formats like our express stores and drive-thrus, while meaningfully growing comps and without any net cannibalization of existing Starbucks stores operating in the same trading area. We cannot identify any other retailer that can make these kinds of claims, especially in today's very tough retail environment. Our strategy for sustained long-term profitable growth is also emphasizing and identifying new customer need states and creating and fulfilling new day-part opportunities and occasions in our stores, growing our business in tea with the Teavana brand, and building our CPG business by leveraging customer affinity with the Starbucks brand, our strong customer loyalty and further extension of Starbucks Stars' down-the-aisle initiatives. By creating more opportunities for more people to engage with us more often both inside and outside of our stores, Starbucks has successfully integrated and coordinated retail and wholesale strategy in driving our business and our growth around the world. It should be mentioned that no national or global retailer has been able to leverage a retail store footprint into a CPG business remotely approaching the size, scale and profitability of Starbucks. Today's Starbucks CPG business represents both a prime profit center for us and a powerful complementary channel of distribution. Finally, a few thoughts on how we are leveraging technology digital engagement and loyalty to drive your business. By anticipating and beginning to invest many years ahead of the mobile technology curve, Starbucks today is defining customer-facing and partner-facing mobile and retail experiences of the future. And the technology innovations we are introducing are further strengthening our brand, improving our efficiency and in-store execution, increasing our profitability, enabling us to further extend our lead over competitors and, most importantly, enabling us to deliver an elevated Starbucks experience to our customers. Starbucks occupies a front-row seat at the intersection of the physical and digital worlds like no other company anywhere in or out of retail. Our unique combination of assets that includes a growing global physical footprint of now over 23,000 stores, deep consumer engagement and trust in our brand, millions of customers every day and breakthrough mobile and digital technologies are together enabling us to extend our reach and deepen our emotional connection to customers everywhere in ways that were not imaginable even a few years ago. Our customers trust us and reward us with unparalleled frequency and loyalty, as demonstrated by the robustness of our business, the unprecedented increases in global traffic we are seeing, and the amount of currency preloaded on our customers' mobile devices. We continue to leverage all these assets in ways that are accretive to our business and to the heritage of our company. Our industry-leading mobile app has emerged as an evolving platform and profit driver of its own, creating multiple touch points that will continue to drive incrementally and create new business and profit opportunities for us in the future. The partnerships we've recently announced with The New York Times, Spotify and Lyft are the first of many partnerships that will enable us to increasingly leverage and monetize the platform and our other technology investments. Through these investments and the best-of-class mobile and digital experience that Starbucks delivers, we believe that we are building an unassailable position that will only strengthen and become more relevant as today's increasingly mobile-first consumer economy evolves. But despite our industry-leading position in mobile and digital today, we are continuing to push the envelope and now have line of sight on the next-generation of features to excite and delight our customers and our partners. Mobile payment now accounts for 21% of all transactions in our U.S. company-owned stores, and although we only completed the rollout of Mobile Order & Pay across our system 7500 U.S. company-owned store portfolio in September, we were already operating at a run rate of over five million transactions per month. And that figure, believe it or not, is growing by the hour. We have seen the pattern of accelerated adoption of Mobile Order & Pay with each successive region and market we enter play out over and over again. And I'm pleased to report that we are seeing it again in terms of this pattern, accelerated adoption, repeat in the early days of our recent international launches of Mobile Order & Pay in both the U.K. and Canada. Membership in our fast growing and industry-leading My Starbucks Rewards program, our loyalty program, continues to grow, and we now have over 20 million members in countries around the world. And two weeks ago, we launched delivery in the Empire State Building to favorable customer and media response, and we'll be launching delivery in Seattle in conjunction with Postmates later this quarter. But the growth in incrementality you are seeing today is only the beginning of an exciting evolution of Starbucks' business that commercialization of our new proprietary technologies is enabling, and it all is made possible by the investments we have made and continue to make in our mobile, digital, and loyalty programs. As I was preparing for this call, I couldn't help but become a bit nostalgic as I reflected how gratifying this quarter and year has been. And now with a market cap poised to exceed $100 billion, how far we have come from that small coffee company in Seattle that had 125 stores at the time of our IPO in June of 1992. 23,000 stores in 68 countries around the world, close to 2,000 stores in China, over 2,000 stores in EMEA, and over a1000 stores each in Japan and Korea, and over 180,000 points of CPG distribution around the world. The deep authentic connection our customers have with the Starbucks brand and with our people, our values, and our culture and the universal appeal of the Starbucks experience, stunning financial performance coupled with unmatched groundbreaking innovation that is relevant to our customers and our people and so much on the horizon. Never in our 23 years as a public company has the Starbucks brand or our business been more relevant or been stronger. Nor have our aspirations and the opportunities that lie ahead of us. We remain humble and steadfast in our mission to build a great enduring company, and as managers and leaders to exceed the expectations of our customers and our partners. With that, I'll turn it over to Kevin Johnson
Kevin R. Johnson - President and Chief Operating Officer: Thanks, Howard, and good afternoon, everyone. I'd like to take a few minutes to provide more color on the quarter and share my perspective on our business as we enter fiscal year 2016. Then I'll turn the call over to Scott, for details on our financial performance and outlook for fiscal year 2016 Howard highlighted a few key themes: Stellar operating and financial performance, our investments are paying off, and we have great confidence in our future. Since taking on the COO role in March, I've been personally focused on operationalizing the seven core strategies for growth we outlined at last December's Investor Day, allocating resources against those operating plans, and driving execution across the business. The investments we are making are aligned with those strategies, and they are working, giving us confidence going into fiscal year 2016 that we have line of sight to our next wave of initiatives and the business outcomes that will follow. Let's take a look at each business segment. Our fast-growing Americas segment continues to deliver industry-leading growth, posting 8% comp growth in Q4 with 9% comp growth in the U.S. Americas grew revenues 11% in Q4, fantastic operating performance for a business of its size, and it opened 612 net new stores over the past 12 months. Our beverage program, fueled by innovation such as our new Cold Brew and strong core beverage performance, drove six points of comp growth and delivered increased food attach. Sales of iced beverages, including Teavana Shaken Iced Teas, grew 20% year-on-year. And our limited-time offering line-up with the new and improved Pumpkin Spice Latte, Salted Caramel Latte, and Toasted Graham Latte performed well ahead of our initial expectations. Noteworthy is that in fiscal year 2015, Teavana branded, handcrafted tea beverages generated nearly $1 billion of sales through Starbucks stores in the U.S., up 12% over last year. And we will be bringing Teavana branded, handcrafted tea beverages to CAP and EMEA in fiscal year 2016. Food revenue grew 19% in the quarter, contributing three points of comp growth, including attach. Our breakfast sandwich platform, which has now doubled in size from just three years ago, is increasingly resonating with our customers, and our lunch program is accelerating. Our focus on creating new occasions enabled us to grow in every day part. The data is clear: Starbucks is increasingly becoming a food destination across multiple day parts. We have momentum going into holiday, officially starting for millions of customers in the U.S. and around the world this weekend, when Starbucks cups turn red and we celebrate the return of Chestnut Praline Latte, Eggnog and Gingerbread Latte, Peppermint Mocha and Caramel Brulée Latte. We've leveraged last year's learnings in a reimagined in-store experience for holiday and created an experience that embraces food and beverage innovation, while leveraging all of our best assets, including digital, loyalty, card, mobile and our global store footprint. Our partners are excited and they are ready. This year, customers will find a new seasonal favorite beverage which builds upon the popularity of our Flat White and holiday beverages and the return of our holiday Dot Collection. We are expanding our dotcom gift shop to offer seamless online and offline shopping experiences. All the merchandise our customers see in our stores will now be available online. Our Gift Card program is a big part of holiday. You may recall that last year, one in seven Americans received a Starbucks Gift Card over the holidays, generating over $1.6 billion in card loads in our first quarter of fiscal year 2015. This year, we've reimagined our card mall, expanded the program to include all U.S. company operated stores, and we're introducing a limited offering of premium cards. We're also bringing back the opportunity for customers to win something that isn't for sale: Starbucks for Life. This program will be exclusive to our MSR members, where they will have opportunities to win this very special reward. Noteworthy is that total card loads in the U.S. and Canada, including reloads and activations, in fiscal year 2015 totaled $5.1 billion, up 19% year-on-year. Our China Asia-Pacific segment delivered comp growth of 6%, driven entirely by increased traffic, with revenue growing 110%, 18% excluding the impact of approximately $287 million from the ownership change in Starbucks Japan and negative impact of FX. The result is outstanding operating income leverage with 25% growth in the quarter. Building for the future, rapid store growth continues as we added a record 838 net new stores in fiscal year 2015. Our new class of company-operated stores in CAP are outperforming the prior class, generating record AUVs and profit, results that demonstrate the accelerating strength and relevance of the Starbucks brand across the region. We now have over 1,800 stores in 95 cities throughout China. Our brand has never been stronger and our connection to our customers has never been deeper. We continue to introduce innovative new food and beverage items into the market, Cold Brew being one example, and we're leveraging all of our physical, digital and loyalty assets to become an increasing relevant part of the daily routine for our rapidly growing customer base in China. And we now have over eight million MSR customers in China, giving confidence in our commitment to having 3,500 stores in China by the year 2019. Our traffic growth in China continues to outpace our CAP segment traffic growth overall, and we saw traffic comps in China accelerate throughout the quarter with continued strong momentum into October. As we head towards the 20th anniversary of Starbucks Japan in 2016, our brand has never been stronger. With our business in Japan delivering another solid quarter of comp sales growth. And now with full ownership, we are positioned to accelerate growth and to leverage all of our mobile and digital capabilities as never before. Noteworthy is that the company operated stores we acquired in Japan last year will be included in our global and CAP comp basis during Q1 fiscal year 2016. EMEA's Q4 results demonstrate the success of our continued efforts to improve the profitability of our company-owned store portfolio, while at the same time as we grow our license business. Excluding approximately $40 million of FX headwinds and the transfer of 41 stores from company-owned to licensed, EMEA revenues increased approximately 8% in Q4. In fact, every major EMEA market posted positive comps in Q4, with the U.K., France, and Germany posting particularly strong comp growth. Comparable store sales in EMEA grew 5% despite ongoing macroeconomic challenges in several markets in the region with a 3% increase in traffic, representing EMEA's 10 consecutive quarter of positive comp growth. Our EMEA licensed markets are continuing to perform exceptionally well, with Turkey and the Middle East in particular continuing to outperform, further supporting our license-focused growth strategy. By Q4, nearly 69% of our 2,362 EMEA stores were licensed, up from only 54% four years ago. And we intend to continue to grow our EMEA licensed-store portfolio. This strategy is working as EMEA delivered a full 37% increase in operating income over Q4 last year. Channel Development Q4 revenues grew 14% over last year to $457 million. Despite continued competitive pressures in at-home coffee categories. We are pleased with the strength of packaged coffee sales in the quarter, which combined with K-Cup sales were the primary drivers of Channel Development revenue growth. Our total K-Cup portfolio continues to gain share despite increased pricing pressure and additional new market entrants. In fact, Starbucks is now the share leader in both premium roast and ground and the entire K-Cup segment for the first quarter ever. Innovation has been key in establishing our leadership position in the K-Cup category, and we're excited for customers to experience the new hot cocoa K-Cup beverage platform that we recently launched with classic and salted caramel hot cocoa flavor profiles. We've also seen our Stars down-the-aisle loyalty program driving incremental purchases of roast and ground in fiscal year 2016, and we're expanding the Stars program to include select Starbucks K-Cup SKUs. Foodservice also had a strong Q4 with 8% revenue growth year-over-year. Our broad product offerings to the foodservice trade are becoming increasingly appealing as businesses continue to differentiate themselves by providing employees with premium amenities in the workplace. Internationally, we're seeing strong growth in the China Asia Pacific ready-to-drink sales. While this is a small part of our business today, it underscores the size of the opportunity presented by the strategic partnership we announced earlier this year with Tingyi. We also remain on track to launch ready-to-drink through grocery and convenience store channels in 10 Latin American markets with our long-term business partner, PepsiCo, in 2016. As Howard mentioned, Starbucks has a front row seat at the intersection of the physical and digital world like no other company. Data shows that My Starbucks Rewards customers spend three times as much as non-MSR customers. The Starbucks digital experience is a key enabler of the loyalty program that engages customers and provides us with digital feedback to constantly improve the experience and attract more customers. It is a virtuous cycle. The pace of digital innovation is accelerating. We completed the rollout of Mobile Order & Pay in all U.S. company-owned stores to an overwhelming customer and partner response. We launched the Mobile Order & Pay feature on our Android App and introduced additional functionality to provide real-time store-specific menu and inventory information. We improved pickup time accuracy, all designed to add convenience and improve our customer experience. We have begun deployment in 150 stores in the U.K. and more than 300 stores in Canada, while framing plans to continue rolling out Mobile Order & Pay in key markets around the globe. We launched the Starbucks mobile app, both the iOS and Android versions in France and Germany. We're on track to deploy in Poland, Czech Republic, and Kuwait this year. This quarter we've grown our active MSR customer base in the U.S. by 28% year-on-year, our active mobile users in the U.S. and Canada has grown 32% year-on-year. Mobile payments in October represented over 21% of U.S. tender. We're launching delivery pilots in New York City and Seattle. In the coming weeks, we will launch a rich digital music experience, both in-store and out of store, integrated in our mobile app through our partnership with Spotify. Our digital momentum is real, and the roadmap for the upcoming year is bold. I'm convinced that Starbucks is doing something very unique and very special. We operate a world-class bricks-and-mortar retail business with over 23,000 stores that is growing, and we are rapidly building a world-class consumer digital experience powered by a technology platform that complements and extends the scale of our brick-and-mortar business. In my 34 years in the technology industry, it is difficult to point to another instance where an in-store experience has been extended to a digital experience in such a seamless and elegant manner. Many others in the food and beverage industry are now trying to follow in our footsteps by building a mobile app. From what I have observed in the market, Starbucks has built something that is differentiated from all of the others. Where others are attempting to build a mobile app, Starbucks has built an end-to-end consumer digital platform anchored around loyalty. This platform enables us to deliver new features faster, create a more integrated experience, and personalize those experiences for the consumer. I believe this approach provides a significant differentiation from others who are struggling to replicate the success we have experienced. Q4 of 2015 is a reflection of the great work being done by our Starbucks partners around the world who are delivering innovation, driving operational excellence, and leveraging the scale, reach, and breadth of our capabilities and to continuously elevate the Starbucks experience. The accelerating momentum we experienced in Q4 and unqualified success of our long-term strategies for sustained, profitable growth has ideally positioned us for the future. I'll now hand the call over to Scott, to take you through the quarter and our outlook for fiscal year 2016. Scott?
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Thanks, Kevin and good afternoon, everyone. Starbucks performance in Q4 reflected a continuation of the pattern of accelerating momentum we have seen with each successive quarter of fiscal 2015. Revenue and profit growth each finished at the high end of our Q4 estimates and each of our four reporting segments achieved operating margin in excess of 15% for the first time in our history. Once again, demonstrating the strength of the Starbucks brand and continued excellent execution by our partners across the globe. Starbucks' strong Q4 results were particularly meaningful as they were achieved despite significant foreign exchange headwinds, and both the increase and acceleration of our partner and digital investments, investments that link directly to and in many ways are driving the comp and profitability growth we are experiencing. Kevin has addressed much of Starbucks' consolidated Q4 performance, so I will only comment that our GAAP operating margin in Q4 was 19.7% and non-GAAP operating margin was 20%, up nicely from Q3, but down 50 basis points from Q4 of last year, due to the impact of partner and digital investments and the change in ownership of Starbucks Japan, partially offset by sales and cost of goods sold leverage. Now on to the segments; revenue and operating income growth in the Americas continues to be very strong. In Q4, Americas' operating income increased 13% year-over-year to $840 million – $841 million on an 11% increase in revenues to $3.4 billion. And our operating margin expanded 40 basis points to 24.8%. Strong sales leverage resulting from a 9% increase in U.S. comps was the primary driver of the margin expansion, more than offsetting approximately 160 basis points of impact related to increased partner and digital investments in Q4. GAAP operating income in our CAP segment reached a record $130 million in Q4, a full 25% increase over the prior year. GAAP operating margin declined to 19.9% from 33.5%, primarily due to the impact of the ownership change in Starbucks Japan. Excluding the 15.5 percentage points of financial impact from the ownership change in Starbucks Japan, CAP's operating margin increased by 190 basis points, driven primarily by operating savings in the region. EMEA results in Q4 were particularly strong, once again demonstrating increasing momentum in the business and continued progress against our plan to significantly improve segment profitability over time. EMEA achieved record operating income for the quarter, and when excluding unfavorable FX impact of nearly $5 million, EMEA operating income increased by almost 50% year-over-year to $58 million. And EMEA's Q4 operating margin of 17.2% exceeded expectations and marked the segment's fifth consecutive quarter of double-digit operating margin. EMEA's 510 basis point improvement in operating margin in Q4 over the prior year was driven primarily by sales leverage, including the impact of our ongoing portfolio shift to more licensed stores and gains on the sales of certain assets. Channel Development grew operating income of 15% over the prior year in Q4 to $197 million, also a quarterly record for the segment. Operating margin totaled 43.2%, a 20 basis point increase over the same quarter last year, reflecting a significant increase in income from our North America coffee partnership with PepsiCo and improved cost of goods sold efficiency, primarily offset by higher coffee costs and marketing costs. Before I wrap up Q4 and move on to a brief recap of our full-year fiscal 2015 results, I would like to note for Q4 comparison purposes two non-GAAP adjustments we made in addition to the adjustments we made related to our acquisition of Starbucks Japan. First, as I previously shared, we refinanced $550 million of higher-rate debt in Q4 and incurred a charge of approximately $61 million, primarily related to an early redemption premium. Second, our effective tax rate for Q4 2015 reflects an incremental tax benefit related to certain additional domestic manufacturing deductions to be claimed in our U.S. consolidated tax returns. These deductions are retroactive to fiscal-year 2010 and lowered our tax rate for Q4 of 2015 by 7.3% relative to Q4 of 2014, resulting in a GAAP effective tax rate of 27.2% for the quarter. Starbucks delivered excellent operating performance and financial results for the full fiscal year 2015. In addition to record revenue and operating income, we also drove operating margin expansion of 10 basis points on a GAAP basis and 50 basis points on a non-GAAP basis, both ahead of our initial margin guidance provided in Q4 of 2014. Excluding 90 basis points of impact from the change of ownership in Starbucks Japan, our operating margin once again expanded by over 100 basis points in 2015, driven by sales leverage, including significant leverage in cost of goods sold, reflecting the ongoing success of our efforts to drive efficiency in this critical area. In fiscal-year 2015, each of our reporting segments achieved record operating income. In terms of operating margin, our Americas segment drove margin expansion of 80 basis points for the year to 24.2%, driven by strong sales leverage and despite a 90 basis point impact from increased partner investments. China/Asia-Pacific delivered a 20.9% margin for the year, significantly above our initial guidance for a high-teens operating margin in CAP that we provided on last year's Q4 earnings call. EMEA was a standout, finishing the year with a remarkable 13.8% margin, representing a full 460 basis points of margin expansion year-over-year and eclipsing our previous goal of reaching mid-teens operating margin by 2018. And Channel Development delivered a 37.8% operating margin for the year, a 180 basis point increase over last year, and representing our third straight year for margin expansion in excess of 100 basis points. Finally, it is important that I qualify the impact of FX in our financials. FX negatively impacted both Starbucks' revenue and non-GAAP EPS growth by roughly 3 percentage points in Q4 and 2 percentage points for the full year. The record operating and financial results we delivered in fiscal 2015 also drove record cash generation, providing the capital we need to reinvest in our business and increase the cash we return to our shareholders. In fiscal 2015, we returned a record $2.4 billion of cash to our shareholders through a combination of dividends and share buybacks, up over 50% from 2014 levels. And today, we announced that our board has approved a 25% increase in our quarterly dividend to $0.20 per share. As you know, Starbucks' performance and profitability has been consistently strong over the last several years. Nonetheless, 2015 was an important, if not pivotal, year for us financially and operationally. We delivered record operating and financial results, returned record cash to our shareholders, and importantly, we funded several very significant new investment initiatives. And I'm pleased to report that these initiatives are already producing outsized returns for our shareholders. I'd like to share a few metrics to illustrate this point. After adjusting to reflect the change in ownership of Starbucks Japan, our return on invested capital increased over 200 basis points in 2015. While still only in their early days, the investments we have made in Mobile Order & Pay and in areas such as improved MSR one-to-one marketing are already delivering returns well in excess of our overall company average. Partner attrition in our U.S. stores has declined and, as Howard mentioned, we gained a full three points in the past month, bringing our delta to 18 points versus the industry on this critical metric. And the data is clear that our stores with the lowest attrition generate comps that are above our company average. Finally, and perhaps most importantly, our comp growth in the U.S. clearly illustrates how our investments are timed to performance. In Q4 of last year, we delivered five points of comp growth with one point of traffic growth in the U.S. During 2015, our comps and traffic accelerated sequentially every quarter to 9% and 4%, respectively, in lockstep with the ramp of our investments. The strength and momentum we saw throughout 2015 and are seeing as we enter 2016 gives us the confidence we need to increase the speed and size of our investments in order to continue strengthening and expanding the foundation of our increasingly global business. Importantly, in fiscal 2016, we will be taking the learnings from the investments we are making in our partners in the U.S. to major markets around the world. This next wave of partner investment will include wage and benefit increases and even housing benefits in some countries. And following on the success of the investments we are making in our mobile, digital and payments initiatives in the U.S., in 2016, we will be accelerating these investments, both domestically and in our largest international markets. With this as background, I'll now turn to our relevant targets for 2016. Consistent with our long-term goals, we expect 10% or greater revenue growth on a 52-week basis with the 53rd week adding approximately two points to this growth. Importantly, and for the first time in many years, given the momentum we are seeing in our business, we are expecting 2016 global comp growth to be somewhat above our long-term mid-single-digit guidance range. Our consolidated operating margin will increase slightly from 2015 on both GAAP and non-GAAP bases, reflecting strong revenue growth, sales leverage and increased operating efficiency and performance, partially offset by the impact of increased partner and business investments. We expect to see our operating margin in the Americas increase moderately above 2015, reflecting strong sales and COGS leverage, offset by the impact of our investments. And we expect to see flat to slightly down operating margins in CAP from 2015 levels as increasing sales levels in China, Japan and across the region is offset by the last bit of impact from the acquisition of Starbucks Japan and the continuing impact of negative FX headwinds. Noteworthy is that our projected operating margin of approximately 20% in CAP is above our initial expectations for year two when we close the Japan acquisition. And we remain bullish on the opportunity for future long-term margin expansion in CAP. Q1 CAP margin is expected to be lower by several points than Q1 of 2015, primarily due to lapping the impact of the change in our ownership of Starbucks Japan and the negative impact of FX. Also given the complexity of modeling the impact of the ownership change in Japan, I'd like to provide additional color around our CAP revenue expectation for 2016. Overall, in FY 2016, we expect CAP comps to land in the mid-single digits, including the impact of adding over 1,000 stores in Japan into the calculation. And projected revenue growth in CAP will be in the mid-teens, reflecting excellent growth in all of our major markets and a small benefit from the change in Japan ownership, partially offset by ongoing FX headwinds. We expect our operating margin in EMEA to approach 15% for the year, as we continue to realize the benefits of increased momentum in key markets, strong execution by the team, and the ongoing business model shift from company-owned to licensed stores. And sales leverage will drive moderate margin expansion in our Channel Development segment, though less than the very strong 180 basis point expansion we saw in 2015. As a result of both strong overall revenue growth and margin expansion, we expect GAAP EPS in the range of $1.84 to $1.86 and non-GAAP EPS in the range of $1.87 to $1.89, including the 53rd week we will report on in the fourth quarter of 2016. A few specifics about our EPS guidance; the 53 week adds approximately $0.06 to our 2016 EPS estimate. Our expectations of comp growth being somewhat above mid-single digits is factored in to our 2016 EPS estimate. We expect the year-over-year increase in global partner and digital investments in 2016 will be between $100 million and $125 million, impacting our EPS growth rate by approximately 3 points. Our total global investment in these areas in 2016 will land between $250 million and $275 million, compared to approximately $145 million in fiscal 2015. The majority of the 2016 initiatives will be in the U.S., but will also include global investments in certain increased partner benefits, digital and technology investments, and G&A costs. FX is expected to impact revenue growth by 1 percentage point and EPS growth by 2 percentage points. Commodities impact is slightly favorable for the year, now with over 90% of our 2016 coffee costs locked. And finally, our effective tax rate for 2016 will be between 34% and 35%. Given all these inputs, when adjusting our 2016 non-GAAP EPS range for the extra week by subtracting the $0.06, our growth rate versus 2015 non-GAAP EPS of $1.58, will be at or slightly above 15%. For Q1, 2016 we are targeting GAAP EPS in the range of $0.43 to $0.44 and non-GAAP EPS of $0.44 to $0.45, representing a lower growth rate than the full year as significant FX headwinds in Q1 of 2016 will impact non-GAAP EPS growth by four full points. Also, Q1 growth will be lower as we started implementing the vast majority of our 2015 partner and digital investments in earnest in Q2 of last year. Given our Q1, 2016 growth rate, we expect non-GAAP EPS growth in the remaining three quarters of 2016 to be in the middle of our long-term guidance range. Contributing to our revenue growth in fiscal 2016 will be the addition of approximately 1,800 net new stores globally. In 2016, 70% of our net new stores will be outside of the U.S. with the entire Americas segment accounting for a total of 700 stores, split roughly evenly between company-owned and licensed. Our China/Asia Pacific segment will drive roughly half of our new store growth with 900 net new stores, two-thirds of which will be licensed. And our EMEA segment is targeting 200 net new stores in fiscal 2016, virtually all of which will be licensed. Finally, capital expenditures in fiscal 2016 are expected to be approximately $1.4 billion. 2015 was another excellent year of financial performance for Starbucks as demonstrated by record results and significant increases in total shareholder return, return on invested capital, and cash returned to shareholders. In 2016, Starbucks will deliver approximately $21 billion in revenue, operate close to 25,000 stores, and generate an operating margin approaching 20%. And despite the scale and scope of our company, we will also deliver, once again, double-digit revenue growth and non-GAAP EPS growth of at least 15%, when excluding the set impact from the 53rd week, consistent with our long-term targets. The growth we are experiencing and returns we are delivering are made possible by the investments we are making in our people and in our business and the dedication and hard work of our partners around the world, who now deliver an elevated Starbucks experience nearly 80 million times every week. With that, I'll turn the call back to the operator for Q&A. Operator?
Operator: Your first question comes from John Ivankoe from JPMorgan.
John William Ivankoe - JPMorgan Securities LLC: Hi. Great. Thank you. The question might be a little bit obvious, but Howard, in the last conference call, and I think very rightly, you told us not to expect mid-single-digit comps and you told us certainly not to model more than mid-single-digit comps. So, in terms of kind of expressing that, you expect to have somewhat above mid-single-digit comps for fiscal 2016. I mean the question has to be asked, what specifically changed maybe relative to how you thought three months ago when you told us not to think about anything above mid-single-digit comps? And is it Mobile Order & Pay that's really getting the significant traction in the U.S. that's giving you the confidence to do so well on extremely difficult comparisons or is it other factors that you'd like to discuss?
Howard S. Schultz - Chairman, President & Chief Executive Officer: Well, I certainly was – I was expecting that call, John, but not right out of the gate. So let's just kind of walk through this together. Throughout the calendar and fiscal year, we saw an acceleration of traffic and comp store sales. And I think if you go back a year ago, we were at 5% and 1%. And if you look at 9% and 4% in the U.S. and what we've done sequentially throughout the year and you couple that with the inherent momentum and attachment that we're seeing from mobile payment, Mobile Order & Pay, and specifically the integration, as Kevin talked about, and the attachment of loyalty, we have enough visibility in the business to be transparent with you that we believe that we're going to see some incrementality in our overall comp. And I think just like I've said in the years past, we want to be very straightforward and try and under promise and over deliver. I think we're at the inverse here, and we just feel that it's important to be straightforward and tell you that we think our comps, although it's really an anomaly in this market, is going to be somewhat greater than what we've had this calendar year and fiscal 2015. I would not jump to conclusion and say it's going to be significantly greater. But we have enough visibility and I think significant attachment and response from our customers based on in-store execution, the investments we've made in our partners, as Scott has really articulated, has had a significant effect on our relationship with our customers and all of these things are laddering up to a performance. I mean, when we saw the quarter head towards 9% comps in the U.S., given where all of U.S. retail is, where the economy is, where bricks and mortar has gone, the change in – seismic change in consumer behavior and everyone else in our peer group, not only is it a stunning number, but it's a number that does not exist anywhere in the world at our scale, at our complexity. And we think we're going to do better than the mid-single-digit guidance that we've given you the last few years, and we thought it was responsible to share that with you.
John William Ivankoe - JPMorgan Securities LLC: And if I'm still on, Howard, it's certainly striking to hear your approach to labor in fiscal 2016 in this tightening economy, and maybe juxtapose that a little bit with Starbucks' experience maybe in the late 1990s and 2006, 2007 where you did participate in very tight labor markets. So, is it to some extent lesson learned from your perspective of just the importance of having the right people and compensating them and making sure that turnover is staying low, or how would you describe this current labor market relative to other tightening and expensive labor markets that Starbucks has seen in the past?
Howard S. Schultz - Chairman, President & Chief Executive Officer: Well, I think the equity of the Starbucks brand throughout our public life has been defined by the culture and values and guiding principles. I said from day one that we are in the experience business, and our brand is defined by the people who wear the green apron. The entire DNA of the company goes back to equity in the form of stock options, comprehensive health insurance, 25 years ahead of the Affordable Care Act, and this year alone groundbreaking benefit of college achievement of providing all of our people with a four-year education. So, I think what we've seen is that other companies are reacting and playing catch-up to legislation, where we have always been ahead of it, and the tightening of the labor market is not something that we want to deal with or use as an excuse, just like we don't want to talk about weather. And so, we strongly believe that the investments we've made ahead of the curve on legislation in terms of labor and the benefits that we have provided for many, many years is an intrinsic part of the Starbucks experience, and the brand affinity, the loyalty, and all the things that we're doing are linked directly to the investments we've made in our partners. And I think, as Scott said, we can give you even more specifics that demonstrate that the return on investment of these benefits is dramatically affecting return on investment of new stores. You saw that in the $1.4 million first-year stores, the return on investment on comp store sales, and the incrementality. There's no one on the planet doing 4% traffic at our scale, especially when you consider that we have self-cannibalized, I don't know what the percentage is, probably 20%, 30% 40% of our store base this year alone, and no effect. We are driving incrementality in all day parts, and our people in many ways are responsible for it and we want to invest in them and with them. And I think the performance just shows the result.
John William Ivankoe - JPMorgan Securities LLC: Thank you (52:56) so much.
Operator: Your next question comes from Sara Senatore from Bernstein.
Sara H. Senatore - Sanford C. Bernstein & Co. LLC: Great. Thank you very much. I wanted to ask a little bit more about digital and it's sort of a two-part question. One is, obviously Mobile Order & Pay extremely successful and I think we see that in the fact that you're rolling out so quickly elsewhere. I was wondering if you could talk a little bit about the relative impact on traffic versus ticket. Obviously, both numbers very impressive, but even a little bit more out of ticket that I might have expected. So that's part one. And part two is, maybe you could talk about further partnerships, so you talked about Spotify and Lyft and the New York Times. Could you share your plans for expansion there and when we might expect this to be maybe even a material contributor to operating results from a financial perspective that you actually call out separately? Thank you.
Howard S. Schultz - Chairman, President & Chief Executive Officer: Yeah, thanks. Let's have Adam comment on Mobile Order & Pay first, and then we'll take the other two parts of your question.
Adam B. Brotman - Chief Digital Officer, Executive Vice President: Hi, Sara. This is Adam. On Mobile Order & Pay, a couple things to mention. First of all, before we get into specifics on ticket and transactions, it's worth reiterating that Mobile Order & Pay is part of a broader platform that includes card, loyalty, mobile payment, digital engagement, and now mobile ordering. And we're about to add delivery and music. So, no other consumer retailer has put together a platform like this, and Mobile Order & Pay is proving out what we thought, which is that when you get the flywheel effect of such a successful platform, you see the results that you see from Mobile Order & Pay. Now specifically to your question, we're seeing incremental transactions from Mobile Order & Pay, particularly in our busiest stores. We're pleased with the results across all the tiers of our stores. You know, ticket right now is holding steady and is doing quite well consistent with our other MSR ticket, and we haven't even added the feature of suggested selling and suggested pairing, which we're going to do in the first half of the year. So, we expect to see that increase on top of the incremental transactions that we're seeing.
Kevin R. Johnson - President and Chief Operating Officer: Yes, and Sara, this is Kevin. I'll just add to Adam's comments about what's driving our comps. I think there's three key things. Number one, Howard mentioned is the investments we've made in our partners and the fact that we've reduced attrition is allowing our partners in store to better connect with our customers, and we know that that yields better outcomes in terms of comp growth. And so that's number one. Number two is our investment in food and beverage innovation. In fact, if you look at the comps, three points of our comp growth came from food. Our breakfast sandwich business has doubled in the past three years. Lunch is accelerating. We now have evenings program deployed in 100 stores, so it's early days on evenings, but we've seen growth in every day part as a result. On the beverage side, that accounted for 6% – six points of comp growth. And so innovation certainly around things like Cold Brew contributed to it, and very good results with our iced beverages including the Teavana Shaken Iced Teas, which grew 20% year-on-year. So in addition to the investment in partners, it's the investment in food and beverage innovation, and then finally is the investment in digital and loyalty. So in fact, we know that MSR customers on average spend three times as much as non-MSR customers, and we've grown the number of active MSR customers by 28% year-on-year. So the investments we're making in our partners, food and beverage innovation and digital and loyalty are key drivers.
Howard S. Schultz - Chairman, President & Chief Executive Officer: There was one question about partnerships, future partners. Matt, do you want to take that?
Matthew Ryan - Global Chief Strategy Officer: Sure. It's Matt Ryan. We have only just begun with our partnership business regarding loyalty. And while we've announced three specific deals, there are many more to come. We are in the process of building capability to offer Stars everywhere. That is the opportunity for customers to essentially earn Stars at a lot of different places and take them back to Starbucks. That is going to be a lever in our business in the future and that has not yet impacted our business but will. In addition, as we negotiate those deals, we are going to have additional benefits to both our customers and our partners, which will accrue back to us in the form of loyalty and deepened engagement. So we're very, very bullish on that. We don't have specific announcements today, but stay tuned.
Operator: Your next question comes from Keith Siegner from UBS.
Keith R. Siegner - UBS Securities LLC: Thank you. Howard, in the past couple of years, you have talked about the seismic shift in the retail landscape and how you were going to strategize against that. If you think about the success of the Mobile Order & Pay, this whole platform that it's integrated into, delivery and inevitability, next-gen features you said are already in sight. When you think about that real estate, that physical asset base that you've talked about and its role in servicing that relationship; does this change or could this change? Can you exploit some of that relationship and come up with a new or different way to even further deepen that relationship with consumers? How do you think about that? Thanks.
Howard S. Schultz - Chairman, President & Chief Executive Officer: You know, I think – as you all know, I think two years ago or so, we shared with you that we had begun to witness and get quite concerned about a downturn in pedestrian traffic on Main Street and certainly a downturn in traffic in malls. And I think if you look at the retailers that are succeeding, I'm not talking about people in our core business but all retailers anywhere in the world, it has to be an experiential, emotional experience where the retail experience is really exceeding the expectation of the customer. And so we went back to work on that and I think we also believe very strongly that we had to seamlessly integrate the Starbucks experience with all things mobile. And as I said in my prepared remarks, we are living in a mobile-first global economy and we're witnessing that kind of change. With regard to the physical shape, size, and what we do in our stores, I think we do believe, and I can't give too much away here, that we are in a position where we're in every single or almost every single community in America and almost, you can almost make that statement, in the world, and as a result of that, we're both intercepting and driving traffic into our stores. And we certainly have one of the world's strongest real estate portfolios in terms of where those stores are located. So we are, I think, asking ourselves the very important question, what else can we do in our stores? And I think the operative issue here is relevancy. We have become an extremely relevant brand. And, as Kevin just outlined, three, four years ago, all the day parts that we're now engaged in, we did not have relevancy, we didn't have the right product. And we're, certainly, now looking at the physical space, what it is we're selling. And I'll share something else with you. It's because of the amount of traffic we have, the millions of people and the fact that the core customer is a Millennial customer, the most important consumer in the world today, we have many, many companies who want to partner with us and integrate their products or services into the Starbucks Experience and specifically, certainly they want to do that in terms of what we're doing in terms of mobile technology. So these are early days of us answering that question, but I think you did hit a nerve here by saying that Starbucks has a physical asset almost second to none and when you combine that with what we've been able to do in leveraging that with a seamless digital mobile experience, we're in a very unique position to win. And, I would say, we're as hungry today as we were two years ago when we recognized the problem and we're challenged by it. We certainly feel we have overcome it and we're winning, but we're hungrier today to make sure that the separation we create in the marketplace between us and everyone else gets wider.
Operator: Your next question comes from Sharon Zackfia from William Blair.
Sharon M. Zackfia - William Blair & Co. LLC: Hi. Good afternoon. I wanted to touch on the labor investment that you've made in the U.S. I think you talked about making more of an investment globally as well. Can you dimensionalize kind of the order of magnitude of the investments, both in the U.S. that you've already done and maybe ongoing investment into 2016 both in the U.S. and overseas?
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Yeah, thanks, Sharon. It's Scott. So the total amount, as I mentioned, is between $250 million and $275 million. The vast majority of that, again, will be in the U.S. I think the important part is there is some amount that will happen out in the regions, much smaller dollars, but that includes not only partner investments which is wage and benefit, but it includes an acceleration of some things we want to do digitally around mobile, around loyalty, and around platforms in general. So I think the way to think about it is vast majority in the U.S., a bit in the other regions. And as we go through the year, if those numbers become significant, we'll give you an idea of how they landed by segment.
Operator: Your next question comes from David Palmer from RBC Capital Markets.
David S. Palmer - RBC Capital Markets LLC: Hi. Thanks. What customer and partner feedback are you getting on Mobile Order & Pay so far, and in what ways do you think you can improve the app or adjust operations to make the experience even better? And just separately, bigger picture, I think you said 21% of orders were mobile payment to some degree. It might be striking to you internally as an opportunity that four out of five orders are not using the benefits of mobile pay or mobile order. Are you thinking about ways that you can further drive penetration to get them into this digital ecosystem that you have? Thanks.
Clifford Burrows - Group President-Americas, US & Teavana Region: Thanks, David. It's Cliff here. It has been incredible to see the adoption by customers across the country, and with each wave that we've launched, the ramp rate has been quicker for adoption. I think what is most exciting is our highest volume stores are the ones that are seeing the biggest share come from mobile orders, and what is happening with that is it increases capacity in the store itself. So we're seeing two wins on this. We're seeing the adoption of mobile orders, and we're seeing increased capacity in the core stores. So every part of the country is now live, and we are seeing activity from mobile orders in every part of the country. I could speak briefly to Canada where that adoption focused in Toronto has mirrored what we've seen in the U.S., and it just bodes really well for the future. Adam, do you want to talk about the increased offer?
Adam B. Brotman - Chief Digital Officer, Executive Vice President: Yeah, thanks, Cliff. This is Adam. David, just to build on what Cliff said in terms of some of our busiest stores particularly in either hospitals or downtown locations, let me give you some examples of that. Yesterday, World Financial Center in New York City did 150 mobile orders for over 10% of their overall transactions. Duke Energy Center in Charlotte, North Carolina has been doing incredible with Mobile Order & Pay. They did over 234 mobile orders yesterday for 20% of their transaction. Cleveland Clinic in a busy hospital where the convenience of when you're on break and you don't have a lot of time and you want to just get your mobile order and get out, incremental occasions being driven there 269 mobile orders for 11% of their transactions. So these are in on our busiest tier. It gives you an example of how pleased our customers and stores are with Mobile Order & Pay. Customers are responding incredibly well. We're seeing conversion rates from trial like we've never seen before. We are seeing some of the best customer satisfaction scores for Mobile Order & Pay, particularly around customer connection, which is a great indicator of future visits. So we're really happy with what's going on there. And in terms of what are we going to do to continue to improve it and how are we going to get even better adoption, that's absolutely in our plan. First of all, we're constantly improving the estimated pick-up time algorithm. Same with store inventory, we've enhanced our ability to display accurate store level menu and inventory availability and we're chockfull of great new features that are coming for Mobile Order & Pay including the ability, like I mentioned earlier, for suggested selling which should drive not only customer satisfaction but also bigger ticket. You're going to see the ability to redeem your loyalty rewards, and favorite stores and favorite orders. So that's just the beginning of what we're going to do to improve not only adoption but the experience.
Howard S. Schultz - Chairman, President & Chief Executive Officer: And I've had to say one thing which I think is important. We've always viewed ourselves as merchants, and when we think about the digital experience and the mobile experience with regard to mobile payment and Mobile Order & Pay, the most important thing that we try to consider is the customer experience and as merchants what can we do to surprise and delight the customer so that the mobile experience and the digital experience is not something that's dilutive but actually something that is accretive. And I think as Kevin said in his remarks, I think all those players that are now trying to get into this business, what I notice is that it's really – they're in a utility business. They're in a commodity digital experience. That is not who we have been as a retailer, and that's not who we're going to be as a digital purveyor of the Starbucks Experience.
Operator: Your next question comes from John Glass from Morgan Stanley.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. I thought I'd maybe go in slightly different direction. I wanted to just ask about CAP and the comps being 6%. They had been stronger in prior quarters, traffic had been stronger. So I'm just wondering what that deceleration was, where it came from? You talked about China being strong. So I wasn't sure if it was maybe ex-China. Maybe you can put a little more color around what is going on in China since that seems to be a controversial area now.
John Winchester Culver - Group President-China & Asia Pacific: Yeah. John, let me – this is John – let me just talk a little bit about China and what we're seeing in China. And first, let me just be very clear that our business in China and across CAP remains very, very strong. You look at the momentum that we've been able to build. We've seen no systemic slowdown in our business in China. As we discussed on the call, our performance in terms of comp in China accelerated above the total region. And when you look at the comp breakdown, not only in China but then also across the region, this is all being driven by transactions which is phenomenal. It means that we're attracting more new customers into our stores every day as well as, at the same time, continuing to build frequency with our existing customers. In addition, what we saw during the quarter was that comps actually accelerated month to month. And in China, we see that comps are continuing to accelerate into the month of October, which is great news for us. Just let me touch on China because I know there's a lot of questions out there right now. Today, we operate 1,800 stores across 95 cities, and when you think back to two years ago, we had a 1,500 store target in China by the end of 2015. We are significantly ahead of that 1,500 store target with over 1,800 stores. In the quarter, we opened 135 new stores in China. That's 1.5 stores per day, which is actually ahead of the 1.2 stores that we average for the entire fiscal year of 2015. And when you look at the new stores that we're opening in China, we have the best age class performance in our new stores since 2012. And when you break down the total growth across CAP and really across China, 75% of our revenue growth is being driven by new stores, 25% is being driven by comp, and what we continue to do is focus on investing ahead of the curve as it relates to our people, the digital landscape, IT, store development, supply chain, and continuing to elevate our coffee position in the marketplace. So, again, we're just very optimistic about the opportunity that CAP presents and more specifically what China presents.
Operator: Your next question comes from David Tarantino from Robert W. Baird.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi. Good afternoon and congratulations to all of you for delivering great results. My question, Scott, is two-fold. First, on the investments that you're making, or the incremental investments you're making into business, are those structural in nature, meaning they'll continue beyond 2016, or are there any one-time in nature? And then I guess the second part of my question is just the flow-through to the margins that you're anticipating in 2016 on the comps you're expecting, looks a little low on the surface. So is there anything going on outside of some of the factors you mentioned that would prevent the flow-through down to the bottom line in 2016?
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Thanks, David. On the first part of your question, I think what we've done in 2015 and heading into 2016 is actually accelerate the investments as we've moved through time. So we had a number as we started the year in 2015, and each quarter we actually leaned in a little bit more. And we're doing that again in 2016. And I think there may be some of that that continues as we head into 2017, but obviously as we've changed our plans as we move through 2015, we'll update you as we get into 2017. So I do think we're in an accelerated investment mode now. At some point, that will tail off. But I think the best way for you to think about it is as we move through time, we'll let you know. When we see opportunities to accelerate given what's happening on the top line, we will lean in. We will spend more. We won't hesitate to do what the right thing is. And so, I think the best thing for you to do is just sort of track with us as we go through time. I feel good about what we have for 2016. As we get through the year, we'll talk about 2017. On flow-through, I would say part of the flow-through that you're mentioning is driven by exactly what I'm talking about. So we are definitely investing ahead of the curve. So there's a little bit of advanced and accelerated investment that's having some impact on margin. But I just want to go back to the comments I made on the call that are really important. A lot of what you're seeing for the full year on margin and EPS growth guidance is really a result of what's happening in that first quarter, driven by significant FX impact which impacts top line and bottom line and margin. And driven by the fact that we didn't really start our partner investments until January of last year. So that math is impacting the whole year. As you get through to the rest of the year, you kind of come back up into the middle of our range on a non-GAAP basis.
Operator: Your next question comes from Karen Holthouse from Goldman Sachs.
Karen Holthouse - Goldman Sachs & Co.: Hi. Congratulations on the quarter. I want to ask actually a question about food, which is 3% of comp growth instead of 2% of comp growth on a larger base, lunch is accelerating. Certainly some data points there to feel good about. As it's become a bigger part of the business, kind of outside of the breakfast day part, I'm curious what you're learning in terms of merchandising, products that people are using, grab and go versus things in the case, and just what you've learned so far that can help you continue to grow and build momentum in that part of the day?
Clifford Burrows - Group President-Americas, US & Teavana Region: Thanks, Karen. It's Cliff. We're really pleased with what we're seeing with food and food across the day parts. The strength of breakfast sandwiches, as Kevin mentioned earlier, we've seen that business double over the last three years. And that is quite significant for us. We're also now into testing lunch, and we're seeing both great reaction from the customers around the offering, Bistro Boxes, paninis, and the enhancement of our sandwich range. And evenings is – it's 100 stores now, and we're going to open several hundred more during the year with the evenings program, and that is giving us a day part where not only is the wine beer and our standard beverages but there is also this opportunity for sharing plates. So that is – so the day parts we're excited about, we're able to offer to customers. At the same time, we are increasing the introduction of what we're calling, Wall of Chill, which is our grab and go food presentation, which in high volume stores certainly in the urban locations not only do people buy products for breakfast, but they also often buy something to take with them like the Bistro Box. So portability is important. Food is growing both in our store and through the drive-thru lanes. And with what Adam was talking about on Mobile Order & Pay, our ability to offer people at a store level the food range that that store has and, over time, a much more dynamic suggestive sell plus responding to the in-stock position, all of those things bode really well. We've seen food grow through that 3% comp to 20% of the mix in U.S. stores, and we see that increasing over time to the mid-20%s, but obviously beverage will still drive it. And we'll just keep investing, keep learning, and keep growing it.
Operator: Your next question comes from Andrew Charles from Cowen & Co.
Andrew Charles - Cowen & Co. LLC: Great. Thank you. Adam, with Mobile Order & Pay and delivery coming soon and the marketing opportunities these have, do you view straight-up mobile payment as something ultimately become obsolete or it still have its place given the robust customer data you receive from it as well as the convenience?
Adam B. Brotman - Chief Digital Officer, Executive Vice President: I think, Andrew – this is Adam. No, mobile payment is not going to become obsolete. Although mobile ordering is a form of mobile payment and we are going to see a significant number of transactions morph over. But it's really the spectrum of offering customers what they want. If they want the convenience of mobile payment, mobile loyalty engagement, we're going to continue to offer that and innovate on that. And as mobile ordering becomes more and more powerful and more and more prevalent, you're going to see some of that shift over. I will tell you that we saw record mobile payment last week, and as Kevin and Howard mentioned, over 21% of our transactions are still mobile payment, and it's going strong in terms of both mobile payment and now mobile ordering
Operator: Your next question comes from Jeff Bernstein from Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Just had follow up questions on, I guess, China, Asia-Pacific region. Maybe just a two-part question. One, in terms of the unit potential, I know you're talking about accelerating that. I'm just wondering it looks like this year you're talking about 900 units, up slightly from I think you guided last year to 850 units. So I'm wondering what's the gating faster that maybe faster growth, I guess it's primarily in China, whether it's people or real estate? It doesn't seem like it's demand. And I'm sensitive to asking this because I know about prior concerns of growing too fast. But the first part of the question was just on what's the gating factor. And the other piece was just broadly around China just as you build that business and one day it will be the biggest business outside of the U.S. Can you just talk about the success you're seeing and shifting customers whether it's pushing them from p.m. to a.m. or shifting them from tea to coffee, just how you're converting those customers into more of the traditional Starbucks customer? Thanks.
John Winchester Culver - Group President-China & Asia Pacific: Hi, Jeff. This is John. Thanks for the question. First, in terms of the growth rate around stores, we'll open approximately 900 stores across China next year. And we're well on our way to delivering the 3,400 or 3,500 store target by 2019. We continue to be very disciplined in how we're looking at real estate, how we're building the stores, and, more importantly, how we're creating that experience for our customers and really taking the long-term view on that. When you look at the success of the portfolio, particularly this past year, but more importantly as well in year's prior, the portfolio continues to perform very strong. And we continue to lay the tracks around the infrastructure so that we can continue to accelerate in the future new store growth. So again, we remain very optimistic about that. We continue to focus on people and bringing in the right people, training our partners, and giving them the tools that they need in order to be successful. In terms of the customers and shifting them, what we see is that the majority of our business continues to be in the afternoon and evenings in China. But more and more we're seeing that morning ritual come into play. We have some investments in the business this year in the plan around food and building out the capability around food and particularly the morning day part. In addition, we see digital as a key component in helping to shift customers from that afternoon and evening day part into the morning. And we're laying the tracks on that now. So, again, we're taking the long-term view on China. We want to build our business the right way. We have a very strong brand and great experience that we're providing our customers there
Howard S. Schultz - Chairman, President & Chief Executive Officer: John, can you just speak to what we're doing in January on the family partner forum and what we've done in the past and why that's been so important?
John Winchester Culver - Group President-China & Asia Pacific: Yeah, so one of the things that we've talked about over the course of the last couple years is partner family forums in China. And the significant role that the family plays in helping their children select where they want to work and the type of companies they want to work for. Three years ago, we held our very first partner family forum in Beijing, followed by one in Shanghai, and then another, a third one, in Guangzhou. In January, we're going to do our fourth family forum in Chengdu and when you think of these family forums, think of about 2,000 people, our partners as well as their mothers and fathers, their children, if they have children, coming to this and really seeing what Starbucks is and who we are as a company around the values we have, the opportunities that we're going to give them to grow, and really no other company is able to create this type of experience. And that's why, over the last several years, we've been the employer of choice in China, and we've been able to attract top talent. So we're continuing to make these investments, and we're continuing to be very optimistic about our future in China. But we want to do it the right way.
Operator: Your next question comes from Karen Short from Deutsche Bank.
Karen F. Short - Deutsche Bank Securities, Inc.: Hi. Thanks for taking my question. I just want to ask a couple of questions about guidance. I guess, though, the first is within your comp guidance, can you maybe just kind of go into more detail on the different components, food, tea, innovation, Mobile Order & Pay? And then the second question I had is just, I guess your fiscal 2016 guidance for Americas calls for moderate margin expansion, which is consistent with your language on fiscal 2015 margin guidance, and yet obviously, margins were up 80 basis points. So I guess any color on what your definition is of moderate because you definitely seem more confident on your ability to drive comp, so maybe wondering if you're being conservative. Thanks.
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Thanks for the question. On the first part, I think comp growth next year in the U.S. will look a lot like it looked this year. So in other words, strong growth from food probably in that two-point, maybe three-point range. It's important to point out this is the first time we've ever had three points in food, so the momentum is continuing. I would expect to see limited time offerings in innovation, as Kevin talked about, with things like Cold Brew. There's lots of things in the pipeline that will continue to drive a point or two point of comp there. And then, importantly, the core of what's driving our comp today is all of our regular platform, so espresso, iced beverages, just significant growth in those things that we've been doing all along and we just continue to do them better. So I think the comp breakdown, think of it as very similar to what we did both in the quarter and the year. And then, yeah, I expect Americas comp expansion to be in the range of what you saw this year. So we said moderate. That was 80 basis points, and I think that, that's in the range of what we'll see as we look forward for 2016.
Operator: Your next question comes from Matt DiFrisco from Guggenheim Securities.
Matthew James DiFrisco - Guggenheim Securities LLC: Thank you. I also have a question on a little bit of the guidance there with the margin outlook for the U.S. It also seems a little conservative if I look at where coffee costs have gone. I wonder if you can just give us an update of what you've locked in. I know the last time you talked, I think you said it was 80% locked in. I'm just curious if the majority of what we're seeing in the commodity market coming down now, how that directionally relates to your coffee if that's more so a multiple-year progress of you being able to realize that benefit. And in addition, also I just wanted to make sure I understood the partner investments that you've made. How much has that helped you to maybe have a less of a hit from the structural wage inflation coming down the pipe when the calendar turns to January? How much are you already fronting?
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Thanks, Matt. It's Scott. As it relates to coffee costs, the first thing that I'll just remind everyone is coffee in our retail business continues to be a decreasing part of overall COGS. So just keep that in mind as we grow, the movement in coffee prices really impacts channel development more than it does the retail businesses. With that said, we expect coffee costs to be a little bit favorable as we look forward into 2016. And I think this was inherent in your question, Matt. If you go back a couple of years, you'll recall that in 2014, coffee prices spiked significantly. They spent a good portion of the year above $1.90. They went above $2. Heading into that spike, we were quite long in our coffee inventory, and so we didn't buy much coffee at those prices. And so when coffee came down for 2015, we started buying. And so, if you were to take a look at the spot rate impacting 2015, we were much lower than that spot rate because of our coffee buying practices. So as you roll over into 2016, the delta in the spot rate doesn't impact us as much because we didn't pay as much as the market did in 2014. So that's what's happening is we're smoothing out those costs, aborting the spikes that we had in 2014 and our 2015 P&L, and that's rolling into some favorability in 2016 and I think some favorability as we head into 2017, depending on what the market does. So I think being patient there definitely paid off for us. So, do you want to – Cliff, do you want to try (85:17).
Clifford Burrows - Group President-Americas, US & Teavana Region: Yeah, I'll respond, if I may, Matt, about the investments and wages. So anything that we know about or has been mandated either locally or by states across the country, we've anticipated that in our plans. We're, obviously, annualizing the investments that we want to make and have built that into our plans for the year ahead. And these are investments such as food benefit for our partners, our college achievement plan, and what we're going to do with our partners there and the increased enrollment, 4,000 partners today and we see that number increasing significantly in the coming years. We've anticipated that and we've planned for it. And, obviously, there are some other investments we've made to support our business plan for this year around comp growth, around new stores, around the increased complexity of our business. And we feel very confident with those investments. Obviously anything that comes along during the year we'll respond to and we'll deal with it accordingly and update you as the year goes on.
Operator: Your next question comes from Joe Buckley from Bank of America.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. Can I ask a clarifying question? I think, Howard, in your remarks you said mobile payments were 21% of the mix, and, Kevin, I think you used the same percentage for the month of October. So I guess I just want to clarify what period that 21% applied to and maybe both. And then if you would talk a little bit about what the Mobile Order & Pay component of mobile pay is and just how do you see that building as the rollout – well, the rollout is over now, but how do you see that building over time?
Kevin R. Johnson - President and Chief Operating Officer: Yeah, Joe, this is Kevin. The 21% of tender being paid for with the mobile payments was a statistic for the month of October. That's the latest data point that we have. So it's 21% for October. In terms of data on percent of transactions or percent of tender that's Mobile Order & Pay, since we just finished the rollout in the U.S. late in the quarter, we don't have a full run-rate of quarter, so we're still watching that advance. I think Adam gave you some color on some of the locations that are seeing high usage of that. But each wave of deployment we have made has been adopted faster than the prior wave. And so I think that there will always be some customers that will go into the store that want the in-store experience that will order at the point of sale and pay mobile. And then other customers that will want to do Mobile Order & Pay for convenience, and they'll pay. So you think about Mobile Order & Pay will always be a subset of the total mobile payment tender that we take. And as soon as we have some track record of full quarters of data, we'll be in a better position to share. Adam, do you want to add anything to that?
Adam B. Brotman - Chief Digital Officer, Executive Vice President: Yeah, just building on what you said, Kevin. This is Adam. Howard mentioned that we're seeing a five million mobile order per month run-rate already. And while we're not breaking out specific percentages, there is a range of mobile order numbers across a number of store tiers particularly in our busiest tiers and we are seeing significantly more incremental transactions, incrementality in our busiest stores. We are seeing, internationally, our latest wave that went out for Canada and U.K. saw even a faster adoption than the New York wave, which was faster than the previous wave. So we're getting better at getting faster customer adoption and it bodes well for Mobile Order & Pay globally.
Howard S. Schultz - Chairman, President & Chief Executive Officer: Yeah, Joe, I'll just mention one final point. There are many scenarios where the customer wants the full Starbucks Experience. And then there are other scenarios where that same consumer may want the convenience of Mobile Order & Pay. So we're going to see the balance of consumers that are going to use both. And we think that's a very good thing. We've added this capability that provides significant convenience to the consumer, but we've done it in a way that does not take away from or prevent the full Starbucks Experience on those occasions that that experience is desirable to them. And so, our ability to sort of observe and see how consumers respond and react to this I think is very important. And thus far, I think we're seeing great results, great reception, and we're very confident that we're on the right path.
Operator: We have time for one last question. The last question comes from Andy Barish with Jefferies. You may ask our question.
Andrew Marc Barish - Jefferies LLC: Hi, guys. Just a boring numbers question. The G&A was pretty heavy in the 4Q and actually de-levered for the full year. So I'm assuming some of that was incentive comp given the impressive results. But is that where a lot of the technology investment is also falling, Scott, and maybe what is your outlook for the ability to leverage G&A in fiscal 2016?
Scott Harlan Maw - Executive Vice President and Chief Financial Officer: Yeah. Thanks, Andy. It definitely was driven by both the technology investment as well as the delevering year-over-year is partially driven by the Japan acquisition just given how the accounting works there. And then some catch-up definitely in the fourth quarter around incentive comp. If you sort of normalize for that, our goal is to grow G&A at half the rate of revenue, and we basically achieved that in 2015. You've just got to strip out some of the accounting from the Japan acquisition and some of the other items that are in there from an investment standpoint. Going forward, we are still targeting to leverage G&A. I will tell you it will be less than that half a rate of revenue growth as we look in 2016. And that's because the technology investments will hit G&A and put a little bit of pressure on that. But we still expect a bit of leverage as we look forward.
JoAnn DeGrande - Investor Relations: Thanks, Scott. Thank you for joining us today. This concludes Starbucks' Q4 and fiscal year-end 2015 earnings call. Good night.
Operator: This concludes Starbucks Coffee Company's fourth quarter and fiscal year 2015 earnings conference call. You may now disconnect.